Analyst: Dick Wei - Credit Suisse Debbie Wang - BofA Merrill Lynch Alicia Yap - Barclays Jiong Shao - Macquarie Chi Tsang - HSBC Philip Wan - Morgan Stanley Thomas Chong - BOCI Wendy Huang - Standard Chartered
Operator: Ladies and gentlemen, thank you for standing by and good evening. Thank you for joining Sohu's fourth-quarter 2013 earnings conference call. [Operator Instructions]. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Eric Yuan, Investor Relations Director of Sohu. Please go ahead, sir.
Eric Yuan: Thank you, operator. Thank you all for joining us today to discuss Sohu's fourth-quarter 2013 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; Co-President and Chief Operating Officer, Belinda Wang; Co-President and Chief Financial Officer, Carol Yu. Also with us from Changyou are President, Dewen Chen; Chief Financial Officer, Alex Ho; as well as CEO of Sogou, Xiaochuan Wang; Vice President of Sogou and COO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you of the Company's Safe Harbor statement in connection with today's conference call. Except for the historical information herein, matters discussed during this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statement. For more information about potential risks and uncertainties, please refer to the Company's filings with the Securities and Exchange Commission, including its registration and most recent annual report on Form 10-K. Now let me turn the call over to Dr. Charles Zhang, Chairman and CEO. Charles, please go ahead.
Charles Zhang: Thank you, and thanks, everyone, for joining our call. We are pleased to report that Sohu ended 2013 with a solid fourth quarter. The Group's total annual revenues rose 31% year on year to $1.4b for the year 2013. Benefiting from the strong content offering and enhanced sales force, our video business more than doubled its revenues. By partnering with Tencent, Sogou has become a stronger contender in China's search market. And Changyou delivered solid financial results while investing aggressively in multiple new initiatives for long-term growth. For the fourth quarter, Sohu Video maintained strong year-on-year revenue growth as mobile monetization was on an upward track. Sogou completed a smooth integration with Soso, with revenues hitting the high end of our guidance. For Changyou, its core game portfolios continued to perform well. In the meantime, its platform strategy is well on track. With effective marketing campaigns, the aggregate monthly active accounts of its platform increased by 51% from the previous quarter. Before I continue, I'd like to share some fourth-quarter financial highlights with you. Total revenues were $385 million, up 29% year on year and 5% quarter on quarter. Net brand advertising revenues were $123 million, up 50% year on year and down 1% quarter on quarter. Sogou revenues were $70 million, up 72% year on year and 23% quarter on quarter. Online game revenues were $172 million, up 9% year on year and 6% quarter over quarter. Non-GAAP net income attributable to Sohu.com Inc. was $5 million, or $0.12 per fully diluted share. For the full year 2013, total revenues reached $1.4b, up 31% year on year. Net brand advertising revenues were $429 million, up 48% year on year. Sogou revenues were $216 million, up 65% year on year. Online game revenues reached $669 million, up 17% year on year. Non-GAAP net income attributable to Sohu.com was $71 million, or $1.84 per fully diluted share. Now, let me move to our video business first. During the fourth quarter, Sohu Video continued to focus on bolstering our content library. We broadcasted 30 newly released domestic TV series, including a drama called Phoenix Nirvana, which achieved over 1b video views in its first 60 days of broadcast, a new record for our platform. In addition, we broadcasted the new session of American TV series, including Emmy Award Winners Homeland, the Big Bang Theory and Modern Family. The strong portfolio of content allowed us to retain many users that we accumulated from Voice of China in the previous quarter. In December, our overall daily unique visitors numbers were stable compared with September, while our mobile traffic continued to rise rapidly. For 2014, our content pipeline includes a strong selection of domestic TV dramas, and we plan to further expand our coverage of hot ones. We'll also reinforce our position as the best in the nation for premium American content. We'll not only continue to broadcast the best dramas, such as the new season of House of Cards; we're also, as the first platform in China, bringing hot American TV shows -- American shows. Recently, two highly rated live shows, Saturday Night Live and Ellen DeGeneres Show, were exclusively launched on Sohu Video. We believe this new category will attract affluent and well-educated urban audiences. For domestic variety shows, probably due to our record-setting performance of last year's Voice of China, we saw the prices jump dramatically. As such, we may start to pick content more selectively in this category and allocate more budget to in-house produced content. In 2013, the great success of [indiscernible] series boosted our confidence to produce popular shows that appeal to online audiences. For 2014, we will further increase the number of Sohu originals to cover a spectrum of categories, including web series, talk shows, reality shows and others. On the revenue side, we continue to see strong revenue growth. In the fourth quarter, video ad revenues were up 130% year on year. Mobile video ad sales also gained momentum, as a growing number of advertisers have started to embrace mobile devices. To sum up, for the video business, we are encouraged by the progress we've achieved in 2013. Looking ahead to 2014, while we expect revenues to continue to grow quickly on our strong content and incremental contribution from mobile, 2014 will be another year of investment. With the industry's overall piracy issue being clamped down, it is hopeful that the subscription model can start to boom, where users can pay up for premium content, such as movies. Video is one of the most important businesses for Sohu. We are committed to make investment as aggressive as necessary to stay at the forefront of such a competitive industry. Now, moving over to our Changyou business, first I'd like to talk about Changyou's core online game business. In the fourth quarter, its flagship game, TLBB, delivered record revenues once again after the release of a major expansion pack in late October. The revenue increase was more from existing core players and less from new gamers. For TLBB in this year, we plan to release three expansion packs, including a major one. Our two web games, Wartune and DDTank, continued to enjoy extended popularity. We also launched two mobile games, being TLBB mobile version and Wartune mobile version. Looking ahead, on the one hand, Changyou will continue to invest in its in-house produced game line-up. At the same time, it plans to work closely with other independent studios to launch more co-developed games and licensed games. For example, on mobile game side, Changyou recently rolled out a licensing program called Win Plan. In our pipeline for 2014, we have 3 MMO games, 5 web games and over 10 to 15 mobile games. Turning to Changyou's platform initiatives, we are making steady progress. In the fourth quarter, we successfully established multiple gateways or access points to the platform built around 17173's offerings. This is achieved by the launch of a series of new PC and mobile applications, including first the 17173 browser, a browser designed for web game players; second, Game Jewel, a mobile application for searching and downloading games; and third, 17173 Mobile, a mobile application for game -- app for game news browsing that is powered by the news content of the 17173 website; and fourth, 17173 Video Helper, a PC client software for recording, managing and watching live streams of videos of gameplay and e-sports; and fifth, Raidcall, a group communication software used by professional gaming teams for real-time audio and video chat. We conducted marketing campaigns for all these new applications. As a result, during the fourth quarter, the aggregate average monthly active accounts of our platform channels reached 149 million, an increase of 51% quarter over quarter and 93% year over year. For 2014, we will continue to promote them heavily to capture users in the shortest possible timeframe. Finally, we continue to emphasize that game talents are the core assets for Changyou, and we need to compete with heavyweights in the entire industry. Given Changyou's increasingly diversified game operations and user platform initiatives, there is a need for better ways to motivate employees. Changyou today announced three new employee incentive plans, with terms of 10 years. Changyou will pay compensation to employees based on either the profitability of Changyou or the net returns of specific projects. Now let me pass the call over to Belinda for an overview of our online media business. Belinda.
Belinda Wang: Yes. Thanks, Charles. The fourth quarter, our brand advertising business delivered solid results, with revenues up 50% year on year to $123 million. Also, FMCG and real estate continued to be the key sectors, and thanks to our video efforts, FMCG grew at over 100% on a year-on-year basis. Sohu Group's mobile strategy continued to execute well. Our flagship mobile application, Sohu News App, recently rolled out version 4.0. An important new feature is that we can now automatically push personalized articles onto users' headline page based on his or her reading history. This feature has been well applauded by users. In addition, the cross-promotion among our multiple mobile products yielded synergies. Take an example, when users visit the Sohu Mobile Portal on mobile phone or Sohu News App, they can watch our video clips as well. In the fourth quarter, video viewers from these channels accounted about 20% of our mobile video traffic, and it's expected to grow quickly going forward. Regarding maximization of Sohu Group's mobile traffic, starting from the third quarter of 2013, we began to show premium ads for our mobile video service. In the fourth quarter, we saw a stronger demand from advertisers, with revenues increasing nearly 40% from the previous quarter. This means that, as we gained traction with users in 2013, it is good timing for us to consider monetizing mobile news service as well. For the first quarter, we expect to see some modest mobile ad revenues kick in. And [SGL] trends we'll share with you later. Our mobile search revenue also grew nicely during the fourth quarter. Now, let me provide brand advertising revenue guidance for the first quarter of 2014. Based on the current information, we expect for Sohu Group, including 17173, brand advertising revenues before tax to be between $121 million and $126 million, net brand ad revenues to be between $110 million and $115 million. This implies a sequential decrease of 7% to 11% and an annual increase of 37% to 43%. I would now like to turn the conference over to Sogou's CEO, Wang Xiaochuan, to discuss the Sogou business. He will present in Chinese and an English translation will follow. Xiaochuan.
Xiaochuan Wang: Thanks, Belinda. Hello, everyone. We are pleased to report that we had completed a smooth integration with Soso by the end of 2013. Soso's multiple products and many of its talented engineers have joined the Sogou family. In the meantime, Soso's service and operations have been transferred to Sogou, with Soso's traffic now monetized on Sogou's app system. With the smooth integration and solid progress made on the cooperation with Tencent on multiple fronts, Sogou has formulated a clear product roadmap with an increased focus on mobile. Soso's wealth of knowledge on mobile search and related talents allow us to improve our mobile search products at a faster pace. Our flagship app, Sogou Pinyin Mobile Version, one of the top three mobile apps in the market, now has over 180 million monthly active users. As well as integrating this application with Tencent's major product, there is great potential for Sogou Pinyin to penetrate into an even larger user base. Benefiting from incremental traffic from Soso and Tencent, on PC search, Sogou has narrowed the gap with bigger rivals. On mobile search, Sogou also secured meaningful market share from almost negligible and is well positioned in this important space. With continued organic growth and the support of Tencent's vast online properties, Sogou's market share on PC and mobile search is expected to further grow over time. As Soso's PC and mobile traffic was migrated into Sogou app system, we are able to monetize such with Sogou's monetization capability. As a result, we ended the fourth quarter with solid revenue growth. Quarterly revenues were $70 million, up 72% year over year and 23% quarter over quarter. Notably, revenues from mobile search contributed more than 10% of Sogou's total revenue, compared to 4% for the third quarter. For 2013, Sogou total revenues were $216 million, up 65% from 2012, with an elevated level of traffic. There is still substantial room for Sogou to improve our search monetization capability. So I now would like to turn the call over to our Co-President and CFO, Carol Yu, who will walk you through the quarter's financials.
Carol Yu: Thank you, Xiaochuan, and hello, everyone. One, revenues. Total revenues were $385 million, up 29% year over year and 5% quarter over quarter. Brand advertising revenues were $123 million, up 50% year over year and down 1% quarter over quarter. Sogou revenues were $70 million, up 72% year over year and 23% quarter over quarter. Of this, search-related revenues were $64 million, up 66% year over year and 23% quarter over quarter. Online game revenues were $172 million, up 9% year over year and 6% quarter over quarter. Mobile revenues were $10 million, down 21% year over year and 32% quarter over quarter. Two, gross margins. Non-GAAP gross margin in the fourth quarter was 64%, compared with 66% last quarter and 69% in the fourth quarter of 2012. Three, operating expenses. Non-GAAP operating expenses for the fourth quarter totaled $248 million, up 79% year over year and 72% quarter over quarter. The year-over-year increase was mainly due to an increase in salaries and compensation expenses as a result of increased headcount and increased marketing and promotional expenses. The quarter-over-quarter increase was primarily due to an increase in Changyou marketing expenses associated with a series of new products. Four, net income. Before deducting the share of net income pertaining to the non-controlling interests, non-GAAP net income was $19 million. Non-GAAP net income attributable to the Sohu.com Inc. was $5 million, or $0.12 per fully diluted share. Five, moving on to the balance sheet and cash flow statement. For the fourth quarter, we generated about $129 million in operating cash flow. Changyou generated $83 million, while operating cash flow of other business units was $46 million. As of December 31, 2013, net accounts receivable was $154 million, compared with $153 million at the end of the third quarter of 2013. Brand advertising DSO for the for the fourth quarter was 59 days, compared to 57 days in the previous quarter and 53 days in the fourth quarter of 2012. Six, our outlook for the first quarter of 2014 are as follows. We are expecting total revenues to be between $355 million to $367 million, brand advertising ad revenues to be between $110 million and $115 million. This implies a sequential decrease of 7% to 11%, or an annual increase of 37% to 43%. Sogou revenues to be between $67 million and $69 million. This implies a sequential decrease of 2% to 5% and an annual growth of 70% to 76%. Online game revenues to be between $160 million to $165 million. Before deducting the share of non-GAAP net loss pertaining to non-controlling interest, non-GAAP net loss to be between $50 million to $56 million. Non-GAAP net loss attributable to Soho.com Inc. to be between $42 million and $46 million, and non-GAAP loss per fully diluted share to be between $1.10 and $1.20. Assuming no new grants of share-based awards, we estimate compensation expenses relating to share-based awards to be around $5 million to $6 million. The estimated impact of this expense is expected to increase Sohu's loss per fully diluted share by $0.13 to $0.15. In summary, 2014 will be a year of investment for the Sohu Group. We will continue to invest heavily in online video businesses given its strategic importance for our Group. And for online game businesses, Changyou is relentlessly investing in new game development and platform initiatives. These escalated investments will unavoidably impact our near-term bottom line performance, but will strengthen our long-term competitiveness in China Internet industry. This concludes our prepared remarks. Thank you for joining the call today. Operator, we would now like to open the call to questions.
Operator: [Operator Instructions]. Your first question comes from the line of Dick Wei from Credit Suisse. Please ask the question.
Dick Wei - Credit Suisse: Good morning. Thank you for taking my questions. First question is on the online video front. I wonder if you can share some of the initiatives or the investments that you plan to make for this year, particularly maybe with the content amount or maybe in terms of the bandwidth expenses that you plan to invest. If you can give some more quantifiable numbers, that would be helpful. And then I have follow-up questions. Thank you.
Carol Yu: On the content side, we expect to increase our investment by about 23% as compared to last year, as compared to 2013. In 2013, we spent -- the contract amount is about $90 million, so we expect to increase by 20% to 30% of that amount. For bandwidth, obviously, with the increase in the mobile traffic growing rapidly, we do expect to increase the investment on that front as well.
Dick Wei - Credit Suisse: Okay. Thank you. And my next question is on the Sohu front. I wonder, how much are the traffic from mobile currently? And then what about the mobile monetization rate compared to the PC level, and are we seeing the gap closing? Thank you very much.
Carol Yu: For the mobile traffic, it roughly accounts for about 50% or half of our total traffic for the present moment. We started monetizing our mobile traffic in third quarter of last year, so we are seeing very strong demand from advertisers, especially on the pad side. Sorry. Dick, are you talking about pricing or are you talking about the revenue?
Dick Wei - Credit Suisse: I think that maybe I am quite interested in the pricing. Is it like half of TC level or a quarter, or how should we think about the trend?
Carol Yu: The mobile revenue from video is actually higher than the PC side. For the phone side it's slightly higher, but for the pad side it's substantially higher.
Dick Wei - Credit Suisse: And what about search, like maybe mobile search?
Xiaochuan Wang: So, for search, now the mobile search, the so-called RPM, the revenue per thousand page views, mobile search is around 25% to one-third of that of PC search. Now, Sohu's mobile search by search query, mobile is about one-third of our overall total search query.
Operator: Thank you. At this time I will like ask each participant to please limit your question to one at a time as it will up time. Thank you very much. The next question comes from the line of Debbie Wang, Bank of America. Please ask your question.
Debbie Wang - Bank of America: Hi. I wanted to know that -- within the branded ads, how much is the portion related to the video ad, and also on the guidance on the content costs on the video side. Thank you. I also have a follow-on question on the integration of the search business. Besides the cyclical in the research and [indiscernible] and auto demand, any other reasons that drive the growth of the portal ad? Yes. Thank you.
Carol Yu: Sorry. Can you repeat your question? It's like --
Debbie Wang - Bank of America: Oh sorry, sorry.
Carol Yu: We'll answer you one by one, so why don't you --?
Debbie Wang - Bank of America: Sure. So first question is on the video growth and what is the contribution to the total branded ad? That's the first question.
Carol Yu: Okay. Video, we have three major business units contributing to making up our total branded advertising revenue, the real estate, video and FMCGs each accounting for about 20% to 25% of our total branded ad revenue.
Debbie Wang - Bank of America: And what is the contribution just on the video side? What is the contribution to the total branded ad?
Carol Yu: 20% to 25%.
Debbie Wang - Bank of America: Okay, okay. All right. Second question is on the integration of the search business. I just wanted to get any update on that.
Xiaochuan Wang: So on the first front is the people integration; that part has been completed. The second is about the traffic migration. Now Sogou has become the default search engine on QT.com, as well as Tencent's PC and mobile browsers, and also Soso's about 7,500 servers also are being moved into our server farm. Sogou also took over the previous distributors as well as the end customers of Soso, so now about 20,000, more than 20,000 Soso customers also have been integrated into our customer network.
Operator: Thank you once again. It interrupts up time we will like to ask each participant to limit your questions to one at a time. Your next question comes from the line of Alicia Yap from Barclays. Please also ask question.
Alicia Yap - Barclays Capital: Hi. Good evening. Thanks for taking my questions. So I understand it may be a little bit early for the full-year outlook, but if Belinda would be able to comment. So for the first Q branded ad guidance of 37% to 43% growth, would there be any indications for the overall growth for branded ad for the full year? Thank you.
Belinda Wang: I think for the full year it's still too early to see the trend, but for the first quarter I think -- yes, we have given the guidance already. But I think some categories will be impacted by seasonal reasons, while video asset and online video revenue will keep high at about 70% growth rate.
Charles Zhang: I think the full year really depends on whether we can effectively monetize our mobile traffic. Both video and also the Sohu news client software, we need to come up with some innovative advertising format.
Alicia Yap - Barclays Capital: I see. Can I follow up? So, for 1Q, what is the major growth driver? Would that be -- continue to be the video and the real estate?
Charles Zhang: Yes.
Belinda Wang: Yes, I think, yes.
Alicia Yap - Barclays Capital: Any other category will be driving 1Q as well?
Carol Yu: The key drivers are still video and real estate, with the other verticals and business sectors normally having the seasonality of a slower Q1 due to Chinese New Year.
Alicia Yap - Barclays Capital: I see. And the video, when I think Charles mentioned 70%, is that for the full year or for 1Q?
Carol Yu: For 1Q.
Operator: Your next question comes from the line of Jiong Shao from Macquarie. Please ask the question.
Jiong Shao - Macquarie: Thank you very much for taking my question. Would you be able to talk about the margin profile for Sogou business in terms of gross margin, operating margin? Is there a revenue level that you will reach breakeven? Thank you.
Xiaochuan Wang: For the fourth quarter of 2013 the gross margin for Sogou was around 47%, so it is at the same level compared to the fourth quarter of 2012. The Q4 gross margin is a little bit weaker than that for the third quarter, which was 53%. So now is -- for now Sogou is already at the breakeven level, quarter one.
Operator: Your next question comes from the line of Chi Tsang from HSBC. Please ask the question.
Chi Tsang - HSBC: Good evening. Thank you for taking my question. I was wondering if you could discuss a little bit about your strategy for video content this year. We are seeing that obviously Voice of China bidding is up a lot and I was wondering if you could just help us think about your strategy for video acquisition this year. Thank you.
Charles Zhang: Let me answer your question. First of all, the -- I think the main consumption of video content in China is still the TV drama, TV series, which is basically the bread and butter of people's spending their leisure time. So that's our tele focus, as demonstrated by the last quarter's successful marketing of a few major TV dramas, TV hits. We'll continue with that. And also, on the international content, especially American TV shows and also South Korean TV shows are very popular in China. It really becomes from a narrow percentage drop -- audience becomes really a mainstream activity now, so we'll also continue to focus on American TV shows and Korean TV shows. Like recently really we see a strong uptake of all these American TV shows coming back with its new seasons. And also, including recently we were launching the coming back of House of Cards basically simultaneously with its US release. And also, we actually opened up a new category of shows like sketches and stand-up comedy like Saturday Night Live and the Ellen show. In terms of the varieties like Chinese TV stations -- or variety shows by Chinese TV stations, first of all we will do it selectively because the price hike is just too much and it's not quite worth it. And we will look at some really innovative, because the competitions among TV stations are really becoming more intensified, so there will be more innovative and popular shows coming out. We'll keep our radar on those shows. So that's basically -- with the very extensive offering of TV series, we are pretty strong on content this year and also we need to do a very good marketing job.
Operator: Your next question comes from the line of Philip Wan from Morgan Stanley. Please ask your question.
Philip Wan - Morgan Stanley: Hi. Thank you for taking my question. My question is about your Sogou business. Could you share with us any targets in terms of market share or revenues for Sogou on both PC and mobile in 2014? Thank you.
Xiaochuan Wang: As we just completed an integration with Soso, we don't for now publicly disclose our market share target for this year. But actually, if you look at the PC search business that we -- on one hand we still rely on our traditional model that's leveraging our massive user base of Pinyin to help promote the browser and drive the traffic for Sogou search. And now also we can leverage Tencent's vast online properties to help promote the QQ browser, because we are also now -- Sogou is now operating the QQ browser. So that's for the PC search. Other than the browser itself, when the users are with Tencent's [indiscernible] QQ.com and one day surfing online, we think the QQ browser, these products will also recommend users to use Sogou search as well. So on mobile side the promotion way is similar to that of PC, but we do think the growth rate should be much faster.
Philip Wan - Morgan Stanley: Thank you. Can I have a quick follow-up? On the mobile side, could you comment on what kind of revenue sharing arrangement with Tencent or [indiscernible]? Thank you.
Xiaochuan Wang: This is business confidential.
Charles Zhang: There's no revenue sharing.
Operator: Thank you. Your next question comes from the line of Thomas Chong from BOCI. Please ask your question.
Thomas Chong - BOCI: Hi. Good evening. I have two questions. My first question is regarding the online video business. Can management provide about the timeline that we should expect online video to achieve breakeven? And secondly, for Sogou, I noticed that -- the non-GAAP net income you've achieved in the fourth quarter; should I expect an accelerating trend of non-GAAP net income for Sogou business in coming quarters? Thanks.
Charles Zhang: Well, first about video, let me answer. I think the 2014 will still be a year of investment. It's really the competition continues to be intensified, especially on the mobile front. And we are happy to see that our mobile traffic of video picking up nicely. And so it's really we are looking at 2014 as a year of investment.
Carol Yu: I think we will have increased -- we continue to be very optimistic about video's future, given the possibility of, like what we said, the monetization of our mobile traffic as well as the subscription model becoming more of a reality.
Eric Yuan: Sorry, Thomas, we don't get the second question very well. Please repeat that.
Thomas Chong - BOCI: Okay. My second question is regarding the Sogou business. Should I expect the non-GAAP net income from Sogou to be accelerating; that means we expect more and more income from Sogou search going forward?
Eric Yuan: You mean the non-GAAP net profit for Sogou?
Thomas Chong - BOCI: Yes.
Eric Yuan: So, as Xiaochuan just mentioned, now Sogou is maybe a little bit modest loss-making or near the breakeven level. But we do expect the Sogou revenue for this year, as we expected, will continue to grow quickly and we are optimistic that we will achieve profitability in the middle of 2014.
Carol Yu: By the second half of 2014.
Operator: Thank you very much next question comes from the line of Wendy Huang from Standard Chartered, please ask your question.
Wendy Huang - Standard Chartered: Thanks. My first question is about Sogou. So Sogou has been staying around the breakeven level for, I think, a couple of quarters. So what has actually prevented Sogou from getting up the profit quickly after it reached a breakeven level actually several quarters ago? So can you maybe provide some revenue breakdown from Soso in the fourth quarter?
Carol Yu: I'll take the second part. We do not disclose separately the Soso revenue.
Xiaochuan Wang: We are confident that -- due to our cooperation with our partners that our traffic will continue to go up on both PC and mobile, so I think we expect we can achieve profitability by the second half of this year.
Wendy Huang - Standard Charter: Sure. I have a follow-up question on your operating expense. Actually, it's more a question for Changyou. So in Q3 you guided for advertising and marketing costs associated with Changyou, but the extra spending actually came much lower, and entering into the first quarter again the Company guided very high expenditure. So I wonder what actually -- what resulted in the lower than expected expenditure in the fourth quarter and how should we actually read the again very high spending guidance for the Q1?
Alex Ho: Thank you, Wendy. This is Alex. The reason for the saving of some of the marketing cost for promoting our platform business is primarily because that during the fourth quarter we continued to upgrade and optimize our marketing campaign. So, while partly improving the efficiency and achieving the target, that's why we have been able to save a certain amount of the money. And for the first-quarter guidance, actually, that's the best estimate that we put together, based on all the information that we have right now. So we expect to spend it all as we planned for the first quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, we have come to the end of today's conference call. Thank you for participating and you may all disconnect.